Operator: Good day, ladies and gentlemen. Welcome to the 2025 Second Quarter Genpact Limited Earnings Conference Call. My name is Lisa, and I will be your conference moderator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. The replay of the call will be archived and made available on the IR section of Genpact's website. I would now like to turn the call over to Krista Bessinger, Head of Relations -- excuse me, Head of Investor Relations at Genpact. Please proceed.
Krista B. Bessinger: Thank you, Lisa. Good afternoon, everyone, and welcome to Genpact's Q2 2025 Earnings Conference Call. We hope you've had a chance to read our earnings press release, which was posted on the Investor Relations section of our website, genpact.com. Today, we have with us BK Kalra, President and CEO; and Mike Weiner, Chief Financial Officer. BK will start with a high-level overview of the quarter, and then Mike will cover our financial performance in greater detail before we take your questions. Please note that during this call, we will make forward-looking statements, including statements about our business outlook, strategies and long-term goals. These comments are based on our plans, predictions and expectations as of today, which may change over time. Actual results could differ materially due to a number of important risks and uncertainties, including the risk factors in our 10-K and 10-Q filings with the SEC. Also during this call, we will discuss certain non-GAAP financial measures. We have reconciled those to the most directly comparable GAAP financial measures in our earnings press release. These non-GAAP measures are not intended to be a substitute for our GAAP results. And finally, this call in its entirety is being webcast from our Investor Relations website, and a replay and transcript will be available on our website in a few hours. And with that, I'd like to turn it over to BK.
Balkrishan Kalra: Thank you, Krista. Hello, everyone, and thank you for joining us today. Q2 was another strong quarter for Genpact with revenue reaching $1.25 billion, up 7% year-over-year, reflecting broad-based outperformance across the business. Gross and adjusted operating income margins were also strong, up 50 and 40 basis points year-over-year, respectively, as we continue to deliver margin expansion while also making significant investments for long-term growth. Importantly, adjusted EPS continues to grow faster than revenue, up 11% year-over-year, including reaching $0.88 above the high end of our guidance range. At our Investor Day in June, we introduced GenpactNext, our strategy designed to establish Genpact as a global leader in Advanced Technology Solutions, building on strength of our Core Business Services, to accelerate revenue growth and expand margins. The GenpactNext growth model has 3 key elements, which we call the 3Cs. They are, number one, our capabilities, which include what we go to market with, across our Advanced Technology Solutions and Core Business Services; number two, our clients, which include who we serve across both the enterprise and mid-market; and three, our catalysts, which include how we plan to further accelerate growth through investments in partnerships and AI-focused talent. We are seeing strong early momentum across each. Let me walk you through the key highlights. First, on capabilities. We have 2 sets of distinct but interconnected offerings, Advanced Technology Solutions and Core Business Services. These offerings amplify each of them. Why? Because as you have heard me say before, there is no artificial intelligence without process intelligence. We are capitalizing on this opportunity by integrating advanced technologies into what Genpact has always been known for, exceptional process, industry domain and last mile expertise. This quarter, Advanced Technology Solutions revenue, which includes data and AI, digital technologies, advisory and agentic solutions continue to accelerate up 17% year-over-year, driven by strength in data and AI, as we continue to help clients rapidly deploy AI systems into production. Our data and AI pipeline has tripled over the last year, and we are innovating rapidly. The AI Gigafactory is now live across all Genpact verticals with more than 45 clients onboarded year-to-date and more than 100 experienced data and AI leaders joining us to help our clients rapidly scale AI. We now have more than 270 gen AI solutions in production environments with clients, either deployed or going live, up more than 3x year-over-year. Our agentic solutions are also gaining traction. All 4 modules of our agentic AP suite are now generally available, and we are delivering measurable results with more accurate data capture, greater touchless processing and significant productivity benefits for clients and for Genpact. The AP suite is just one example of how our Advanced Technology Solutions are creating more value for clients and generating high-value revenue for Genpact. Our Advanced Technology Solutions delivered more than 2x revenue per headcount compared to the company average and are growing at more than twice the rate of Genpact's overall revenue. Approximately 70% of Advanced Technology Solutions revenue is annuitized and approximately 70% comes from non-FTE commercial terms, making it high quality, sticky, and strategically aligned with our future direction. And while we are sharing AI-driven productivity gains with clients, incremental revenue is coming from expanded scope increased volumes and entirely new logos, driving net revenue growth. Second, on clients. We are very proud of our enterprise and mid-market clients, many of whom shared firsthand at Investor Day how our Advanced Technology Solutions are driving meaningful value. Today, I want to share 2 additional stories with you that demonstrate how we are leveraging Advanced Technology Solutions across both the enterprise and mid-market to build intelligent, agile operations for our clients. The first is a leading global health care solutions company, serving patients and providers for more than 125 years. As a strategic partner, Genpact has modernized the company's new product introduction and installed base functions to excel in the rapidly changing environment. We are now integrating gen AI and agentic AI into the company's product life cycle and reducing time to spend on routine engineering work through gen AI-based documentation and leveraging agentic AI frameworks to proactively track and manage compliance across our rapidly evolving regulatory landscape. Our AI-powered solutions and industry domain expertise are enabling a more agile and innovative approach to launch new products and managing them in the aftermarket, resulting in faster time to market, enhance compliance and sustained product quality around the world. The second example is a large property and casualty insurance broker in North America. We are partnering with this firm to modernize its operations using AI and other advanced technologies. Our partnership will transform their policy life cycle operation, leveraging intelligent automation, agentic processes and scalable operating models to drive greater efficiency, scalability an enhanced experience for their retail partners and carriers. This work speaks to the strength of our leadership in insurance sector and our focus on empowering high-growth mid-market clients with scalable, repeatable AI solutions. And finally, on catalyst, we are further accelerating growth through investments in partnership and AI-focused talent. Partnerships represent a significant growth opportunity for Genpact. Partner-related revenues grew more than 70% year-over-year in quarter 2, representing 10% of total revenue. We have achieved top-tier partnership status with AWS, Salesforce and ServiceNow. Our joint solution portfolio is also expanding, further differentiating Genpact and accelerating pipeline growth. Today, we offer joint solutions for financial clients with AWS Bedrock, Order Management with Salesforce, Sourcing and Procurement with ServiceNow, just to name a few. To further advance our capabilities, we are also collaborating with start-ups like Instabase for intelligent document processing, Zenoti for responsible AI adoption and so on and so forth. We also continue to make significant investments in AI talent, accelerating our pivot to Advanced Technology Solutions with a focus on AI builders, experts who build AI solutions and AI practitioners, domain experts claim to use AI in flow of work for client processes. Now turning to guidance. With better-than-expected results in quarter 2, we are raising our full year outlook for revenue, adjusted operating income margin and EPS. Our expected revenue range is now 4% to 6% on as-reported basis, up from 2% to 5% previously. We expect adjusted operating income margin of 17.4%, up from 17.3% previously, and we are raising our outlook for adjusted diluted EPS by $0.08 to $3.54 at the midpoint of the range. In closing, we are incredibly excited about the future as we reshape Genpact to be an AI-first company. Momentum is building as we leverage Advanced Technology Solutions to strengthen our last mile advantage and position Genpact as a clear partner of choice for AI-driven transformation. With that, let me turn the call over to Mike.
Michael Hal Weiner: Good afternoon, everyone, and thank you for joining us. Results for the second quarter exceeded our expectations with broad-based strength across our businesses. Total revenue grew to $1.254 billion, up 7% from the prior year, driven by organic growth. Data-Tech- AI represented 48% of total revenue or $599 million and grew at 10% from the prior year, driven by continued strength in data and AI. Digital operations revenue of $655 million was up 4% year-over-year, driven by strong execution in deal ramps. Digital operations accounted for 52% of total revenue. At Investor Day, we introduced 2 additional revenue metrics to track our progress against our GenpactNext strategy, Advanced Technology Solutions and Core Business Services. Advanced Technology Solutions revenue of $293 million was up 17% year-over- year, reflecting strength in data and AI. Core Business Services revenue of approximately $962 million was up 4%, primarily driven by digital operations. This quarter, Advanced Technology Solutions represented 23% of total revenue. We closed 4 large deals in the second quarter, including one that was pushed out from the first quarter. All the remaining large deals are pushed out remain active. As a reminder, large deals are $50 million or greater in total contract value. We also continue to expand our footprint, both in enterprise and mid-market clients. Our pipeline remains strong and balanced across mix of deal sizes with both Advanced Technology Solutions pipeline up nearly 1.5x year-over-year. Revenue grew across all segments, led by High Tech and Manufacturing at 13%, followed by Financial Services at 6% and Consumer and Healthcare at 1%. Non-FTE revenue, which now includes outcome, consumption and fixed fee deals accounted for 46% of second quarter revenue, in line with the period a year ago. Turning to profitability. We expanded gross margin by 50 basis points year-over-year, reaching 35.9%, driven by operating leverage. SG&A expenses were 21.2% of revenue. Adjusted operating income was $217 million, and adjusted operating income margin expanded 40 basis points to 17.3%. Our effective tax rate for the second quarter was 24.9%, in line with the prior year. Net income for the quarter was $133 million and diluted EPS was $0.75. Adjusted diluted EPS was $0.88, up 11.4% year-over- year. Operating cash flow was $177 million, down from $209 million in the prior year. Additionally, DSOs were 91 days. We ended the second quarter with $663 million in cash and cash equivalents, down from $914 million a year ago. As a reminder, 2Q 2024 included proceeds from our bond issuance, which were used to repay a bond maturity later in the year. We've returned $60 million to shareholders in the second quarter through $30 million in share repurchases and $30 million in dividends. Turning to guidance. With our strong second quarter performance, we are increasing our guidance range. For the full year, on an as- reported basis, we now expect to deliver net revenue in the range of $4.958 million (sic) [ $4.958 billion ] to $5.053 billion or 4% to 6% growth. At the midpoint of 5%. Data-Tech-AI and digital operations revenue is expected to be approximately 7.4% to 2.9%, respectively. Given that estimated range, our adjusted diluted EPS is now expected to be between $3.51 and $3.58, representing 8.1% growth year-over-year at the midpoint, again, projected to grow faster than revenue. To provide additional details on reaching our 5% midpoint of our full year revenue guide, we need to deliver $238 million of growth for the full year, of which roughly 70% has been delivered in the first half. That leaves 30% or $76 million to be delivered in the second half. Moving on. Our expectations for full year gross margin remained at 36%, a 50 basis point increase year-over-year. Expectations for adjusted operating income margin are now 17.4%, a 30 basis point increase from the prior year. Operating cash flow is expected to be approximately $610 million. On capital allocation, we continue to answer return at least 50% of cash flow to investors through a combination of share repurchases and dividends, while maintaining the flexibility for strategic investments. As a reminder, the XponentL acquisition, which closed in June is now included in our guide and is not expected to have a material impact in 2025 results. Turning to third quarter. On an as-reported basis, we expect to deliver net revenue between $1.258 billion and $1.27 billion or 3.9% to 4.9% growth, representing 4.4% at the midpoint. This translates into Data-Tech-AI and Digital Operations revenue of approximately 6.7% and 2.3%, respectively. We are now anticipating a margin of 36% and adjusted operating income margin of 17.5%. We expect diluted EPS of $0.89 to $0.90 for the third quarter. More details on constant currency growth rates can be found in our earnings press release and fact sheet posted to our Investor Relations website. In closing, we're excited about the future. We remain committed to growing adjusted diluted EPS faster than revenue, expanding margins while self-funding investments for growth and maintaining a strong track record of returning cash to shareholders. With that said, I'll turn the call over to Krista now.
Krista B. Bessinger: Great. Thank you, Mike. Operator, we're ready to go ahead and take questions. Thank you.
Operator: [Operator Instructions] And the first question that I have today is coming from the line of Bryan Bergin of TD Cowen.
Bryan C. Bergin: I guess the first one I have is just as it relates to pace and conversion of new bookings, you had noted a deal was signed ahead of the Investor Day. Just any further traction you've seen there as far as pipeline conversion goes and whether any prior tariff-related delays are showing?
Balkrishan Kalra: Maybe I'll start. Mike, feel free to add. Thanks, Bryan. Look, overall, inflow and conversion and pipeline continue to be in a very healthy state, Bryan, are really pleased with the execution and innovation and investments that we are doing to fuel innovation. Specifically on the deals that we spoke about in quarter 1, as Mike said in his prepared remarks, we already closed one of them, and we closed many of the large deals or a few other large deals in the second quarter. And both the large deal or overall pipeline continues to be in a pretty healthy state. Mike?
Michael Hal Weiner: The only thing I'd like to add is that we closed one of those deals in the first quarter, as BK talked about, and we had 3 other large deals in a different cohort that weren't delayed that closed in the second quarter. We're still in active dialogue with those deals, and we expect them to come to fruition within the year.
Bryan C. Bergin: Okay. Okay. Good. Second question on gen AI, just anything the latest you can share about that net impact of gen AI from traditional contracting on your base business? And have you got any incremental details on the range of outcomes that you may have across engagements.
Balkrishan Kalra: Yes. I think as, Bryan, you may have noticed during our Investor Day, we shared a little bit of a detailed illustration of how a lot of this gen AI and agentic implementations are shaping up our franchise. And it pretty much stays in the similar range, and it was the demonstration of how AI is a clear tailwind. And we continue to see that progress reasonably well. And I think how -- if I look at the pipeline, be it from a data and AI standpoint or gen AI standpoint, the pipeline is actually a proportion from Advanced Technology Solution continues to be actually at a very, very healthy stage and really thrilled as to how we are shaping the curve of the business, especially with our investments in this innovation.
Michael Hal Weiner: Yes, if I can just tap on to that, right? So when we think about it, we laid out, we gave an illustrative example that BK alluded to earlier that we had in our Investor Day. But the way to kind of think about it is, we are sharing the AI productivity gains with our clients. That's to be expected. But we are seeing incremental revenue coming from a number of sources, including expanded scope, increased volumes or both as well as new logos, that on top of our ability to do it and enhance our margins makes it very accretive for Genpact, both top and bottom line.
Operator: And the next question is coming from the line of Surinder Thind of Jefferies.
Surinder Singh Thind: BK, can you maybe just talk about -- a bit more about the Advanced Technology Solutions, the pipeline there, maybe how quickly that converts and just kind of the length of the projects that we have a better understanding of that segment reporting, given it's one of the new pieces of data that you're providing?
Balkrishan Kalra: Yes. Thanks, Surinder. Look, overall, it's our revenue desegregation, just specifically on Advanced Technology Solution. As you -- as I justifying that the pipeline is actually growing at a much healthier pace overall and through across various components of Advanced Technology Solution. Conversion is tad faster. And as I mentioned, including at the Investor Day or in my prepared remarks today, it is greater than 2x our revenue by headcount and is growing certainly north of 2x of the overall company average. And on your specific question on the length of the contract, 70% of all of Advanced Technology Solutions approximately is annuitized and also non-FTE.
Surinder Singh Thind: Got it. That's helpful. And then just kind of following up when I think about the growth rates from a segment perspective, it looks like you had nice growth across each of the verticals. Any additional color that you can provide there? Obviously, it seems like we've seen a pickup in professional services. Just any color on how we should think about the demand environment there at the segment?
Balkrishan Kalra: Look, overall, again, very pleased with the execution and total growth being 7% year-over-year on pretty decent comps. High Tech and Manfacturing -- and it is High Tech and Manufacturing, we don't split it out, grew 13%, as Mike mentioned in his prepared remarks. Our Financial Services 6%. And yes, Consumer Healthcare was 1%, some concentration of macro-sensitive customers specifically. If I look at the pipeline, pipeline across cohorts, be it cohorts of the deal or cohorts of verticals, cohort of geos, continues to be in a pretty strong and pretty healthy stage and really pleased with the strong execution that the team is demonstrating along with our clients.
Michael Hal Weiner: Yes. Surinder, I'd like to add to that is that we delivered 7% growth for the quarter, right? And then we are seeing -- we're beginning to see the benefits of the strategic investments we've made that we've self-funded in the business. That's really reflecting in really our revenue disaggregation, particularly that we're quite pleased with the 17% in Advanced Technology Solutions, which just BK talked about in the previous question, 70% annuitized saying we're really proud of.
Operator: And the next question is coming from the line of Jacob Haggarty of Baird.
Jacob D. Haggarty: Congrats on good quarter. I just had a question quick on sequential trends. So at the midpoint of your Q3 guide, it implies below sequential trends, which would then mean that Q4 would have to be sort of above what's normal for you to hit the top end of your guide. Is that something that's possible if you hit the midpoint? Or are you guys going to have to kind of lower the top end there? What are your thoughts on that?
Michael Hal Weiner: Yes. It's Mike. So again, we feel really good about our guide in terms of the range. Again, the way I'd like you to think about it, so at 5%, which is the midpoint of it, right? First of all, we haven't changed our approach on how we guide, right? I think they really change on a sequential basis. So again, using just simple math, at 5% growth at the midpoint, right? We need to deliver about $238 million for the year, as I talked about. 70% of that has already been behind us. So if you then can extrapolate that, the other 30% is about $76 million. And again, we feel good about being able to achieve that certainly at the midpoint of the range. And we'll ultimately see about execution and client involvement that potentially could push us above that number.
Balkrishan Kalra: And we continue to be prudent about how we guide and how we deliver.
Jacob D. Haggarty: Got you. And then just a quick follow-up. So I appreciate the disclosures on Advanced Tech Solutions and Core Business Services. Just looking back at 2024, really -- Advanced Tech Solutions started to really accelerate in Q3. And since then, Core Business Services has been decelerating. Is that a trend that you expect to continue? I know we start to hit tougher comps in the back half for Advanced Tech Solutions. Like, how are you viewing the interaction between those 2 growth rates?
Michael Hal Weiner: Yes. So I'll kick this off, BK, and then maybe we'll hand it over to you for some additional high-level comments about it. So if we harken back to our Investor Day, which held about 6 weeks ago, right, we gave out our targets for the midpoint. But the way to kind of think about it, we are thinking about our ATS business growing at least 15%, right? And our Core Business is growing at 4% to 5%. And some of that is really driven by the rotation out of Core Business Services as we pivot into Advanced Technology Solutions. And again, you're correct to assume -- correct to point out the acceleration we had late last year and throughout this year in Advanced Technology Solutions. And that really pinpoints back to the investments we've made in that revenue category. And we're looking at hypercharging that on a go-forward basis. And that's really what's reflected in our guide for this year and for our medium-term guide.
Balkrishan Kalra: And there will be some variability in comps and numbers that might come through, and I won't overread into that. But fundamentally, really pleased with all of our investments that we are making in Advanced Technology Solutions, how it's ramping up. But I will also center the argument a little bit on total revenue growth that we continue to deliver at -- amongst the top end profile of -- in other sector.
Operator: And the next question will be coming from the line of Sean Kennedy of Mizuho.
Sean Michael Kennedy: Nice results. So how should we think about the net new versus existing accounts mix for genic solutions currently? And how can that mix change over time?
Balkrishan Kalra: Look, I think point number one, Sean, I would say, really pleased with the book of business and the clients that we have, be it in enterprise or mid-market, and we are continuing to take these innovative solutions to all of these clients. And all of these clients are adopting a different pace depending upon where they are in their journey. And what we are seeing is clearly all of these solutions taken up by new logos as well, a little bit more actively. So really pleased as to how be it the agentic or data and AI solutions are in our pipeline, fueled by both existing clients as well as newer ones.
Sean Michael Kennedy: Great. And then also, could you share how the client conversations progressed in the last few months from early April on tariffs you would say, was it a brief call followed by a quick reengagement, or are clients still generally more cautious?
Balkrishan Kalra: Overall, look, client conversations continue to be more centered around data and AI and how all of this can actually generate ROI for all the investments they are making. We all talk about technical debt and some of my conversation is always about the process debt and the frame that I always say that, hey, there isn't any benefit of artificial intelligence, if there is not process intelligence behind it. And I think a lot of that differentiation is coming to life.
Michael Hal Weiner: Yes. If I can just add on to that for a quick second. So a lot of our customer conversations remain really healthy for us. So that's something we're super proud of, and it's reflected in our guide. The macro remains somewhat muted, right? It has clarified a little from the paralysis that we've seen in the earlier part of the year. We remained somewhat cautious and prudent with how we think about it on a prospective basis. But our guide really is how to think about it from reflecting it, particularly that in Advanced Technology Solutions as we're seeing enhanced demand for that.
Operator: And the next question will be coming from the line of Puneet Jain of JPMorgan Chase.
Puneet Jain: Good quarter, guys. My question is around like AI. Like, are there any processes or verticals, regions where AI adoption is higher than others? And do clients typically go with their existing vendors when they're trying to bring AI in their business processes? Or are they okay, like looking back new vendors, like the vendors who can bring more AI solutions than their current providers, okay?
Balkrishan Kalra: Yes. Thanks, Puneet. Overall, I would say -- maybe I'll address your second question first. What we see, as I was mentioning earlier, a very strong demand from all of our existing clients. as well as newer clients. And I think the last mile expertise be it of end-to- end process ownership, deep domain or operational data, operating at scale, is shining through, especially when we are investing in technology at that last mile and shining the differentiation further. And clearly, we see an uptick there, and that's what you see in our Advanced Technology Solutions results and I think even as you progress within this quarter. And then our investments in partnerships is further accelerating that. More on your question one, I think, look, I would say it is across sectors. Clearly, Financial Services by how they experiment at a much faster pace. But we are seeing even Manufacturing, Hight Tech or even Consumer companies are really not behind. Maybe from a geography standpoint, U.S. is -- continues to lead more. Australia is ahead too, so is Europe. I think it's more broad-based, I would say.
Puneet Jain: Got it. And can you also comment on pricing environment, whether AI is accelerating some of the pricing pressure or if you are seeing any instances of any of your competitors pursuing deals and being irrational in pricing at all?
Balkrishan Kalra: So I won't say -- Mike, you look at pricing also far more closely. I don't see any irrational pricing behavior at all, Puneet. And clients are actually getting more focused on value, not just also cost. And clearly, we are shifting the needle on non-FTE models as well, and we spoke about Advanced Technology Solutions nearly 70% non-FTE and more consumption-based structures or -- so I think I -- we don't see any irrational pricing behavior. Mike?
Michael Hal Weiner: No, I don't see any rational pricing behavior. The one thing that I would continue to point out that you just alluded to is the delivery from FTE legacy models is now shifting at a faster pace to non-FTE or outcome-based models or any flavor of that pricing, which I think is really healthy for us and also healthy for the industry as a whole.
Operator: [Operator Instructions] And our next question will be coming from the line of Bradley Clark of BMO Capital Markets.
Bradley Reiss Clark: I want to ask about the midterm target of 7% growth and sort of how it relates to the year 2026 given your guide for the second half does imply some further deceleration. And I just want to understand about what you guys are seeing on the pipeline and large deal bookings that you closed in the quarter that help give you confidence in that acceleration from sort of where the second half is laid out here to that 7% growth target that you laid out at Investor Day? What could help go by to take that the number back up?
Michael Hal Weiner: Yes. So again, at our Investor Day, we highlighted at least 7% growth for the midterm, which is '26 and '27, right? We continue to build momentum in our business. The pipeline remains very healthy and conversion rates that BK alluded to. We'll provide some bookings information at the end of the year. But if you're really double-clicking on what will the impact be of potentially these -- this cohort of delayed large deals really has no effect on our view either for this year or for next year. We continue to execute extremely well in the existing deals that we have as well as where our pipeline lies.
Balkrishan Kalra: Yes. Maybe 2 comments to add. We stay -- continue to stay prudent about our guide and don't want numbers to run ahead of us. And we remain confident of our medium-term targets that we laid out at Investor Day. And if you look at last x number of quarters, we continue to perform at the top end of our services sector.
Operator: I have another question that will be coming from the line of Maggie Nolan of William Blair.
Margaret Marie Niesen Nolan: This is Maggie Nolan with William Blair. I wanted to see your thoughts on as we continue to see how these trends that AI develop, whether or not you're seeing a little bit of a convergence between what would have traditionally been considered IT services and what have traditionally would have been considered BPO just given that AI is more comprehensive, there seems to be an appetite for larger, more comprehensive deal sizes that touch data and process in all of these different areas. Is that something that resonates with you as you think about a multiyear vision for the company? And how is Genpact responding to that?
Balkrishan Kalra: Thanks, Maggie. Look, I think I will first speak to our strategy, Maggie, and our strategy of known as last mile experts, be it from a process, domain, contextual data, operational data and operations at scale and applying investments in technology on this differentiation that has been core to us. And I think that has begun to shine more and more. And like I typically say 2x, 2x, 70/70, I think it's getting shown in nearly now 1/4 of our revenue, growing at 2x the rate of the company and the 70% annuitized and 70% non- FTE models and 2x revenue by headcount. Look, I think we do believe that for clients, clients don't think about BPO or IT. Clients are looking for who is providing them value, who is underwriting the value. And I think that's where the industry domain are running operations at large scale, knowing the last mile, I think, has begun to shine more. I don't know if that answers your question.
Margaret Marie Niesen Nolan: Yes. That's helpful. And then also on kind of a multiyear time line. Obviously, you've talked about this a little bit in the past, but can you elaborate on the ability to drive revenue and kind of decouple that to some degree from headcount? And then what type of investments are most important for the headcount that does remain as you perhaps invest a little bit less in headcount to drive the same amount of revenue?
Balkrishan Kalra: Sure. So maybe two-part answer as I think about what you asked. Look, I think first thing all this transformation is not happening overnight. It is a multiyear transition and transformation. We are wanting to take all these solutions to our clients. And we've got to meet where our clients are and kind of also while we accelerate their pace, but we also need to kind of walk with them and kind of set- up the data pipeline, set-up the infrastructure. And I think we are in that early phase. Now I think -- so multiyear, as we have said, I think we gave certainly medium-term targets of at least 7. And as we think from a workforce standpoint, Maggie, we said that there are only -- as we progress, there will be only 2 cohorts of people in Genpact, AI builders or AI practitioners. We set-up some near-term targets as well we shared at the Investor Day and really pleased as to how the talent makes and how our talent is really adopting all of these new technologies and new techniques at scale. And I mentioned about our culture as well and one attribute of the culture is learning attribute that has always been Genpact, and that is really, again, taking shape in a more fundamental way now.
Operator: And there are no more questions in the queue. I would like to turn the call back over to management for any closing remarks. Please proceed.
Balkrishan Kalra: Thank you, Lisa. Look, I want to thank you all for joining us today and my heartfelt thanks to our incredible employees for all of their hard work. We are very excited about the future of Genpact. As we look ahead, we will continue to leverage Advanced Technology Solutions to strengthen our last mile advantage and position Genpact as a partner of choice for AI-driven transformation. I also want to take this opportunity to thank all of our clients for choosing Genpact and all the shareholders for ongoing support. We look forward to speaking with you again next quarter. Thank you.
Operator: Thank you for joining today's conference call. This does conclude today's meeting. You may all disconnect.